Operator: Welcome to the Dürr Conference Call. Dr. Jochen Weyrauch, CEO; and Dietmar Heinrich, CFO of Dürr AG will present the Dürr Group’s Figures for First Quarter of 2024, followed by a Q&A session. I will now hand over to Andreas Schaller, Head of Investor Relations of Dürr AG.
Andreas Schaller: Good afternoon and good morning ladies and gentlemen. Welcome everybody to our Q1 earnings conference call. As just mentioned with me on the call today are our CEO, Jochen Weyrauch; and our CFO, Dietmar Heinrich, and they will present the Q1 results as well as the outlook, and we’ll be happy to answer your questions afterwards. As always, our earnings presentation is available on our Investor Relations webpages, and we assume that you have it in front of you. Please be aware of our disclaimer regarding forward-looking statements on Slide 2. And now it’s my pleasure to hand over to our CEO, Jochen, please go ahead.
Jochen Weyrauch: Thank you, Andreas for the short introduction, and a very warm welcome from my side to all participants on this call. Let's take a look at the highlights of Q1 on Slide 4. Overall, we had a very solid start into 2024. We achieved a new quarterly record order intake of €1.5 billion. This was slightly higher than the previous record level that we reached in Q1 of last year. The main driver of this strong order intake was our Automotive business, where we booked a large project in Germany that we have predicted already mid of last year. The pipeline for Q2 and beyond is very solid, which means that the current underlying demand continues to be good. At HOMAG, order intake was supported by several larger projects with long lead-times. Underlying demand has not changed and we continue to expect an improvement not before the end of this year, as we had already mentioned previously. Consolidation of BBS Automation, that we had acquired end of August last year, supported the order intake as well. As a result, the order backlog grew to €4.6 billion, which also is a new record level. Sales revenues were up 8.3% year-on-year to about €1.1 billion. The book-to-bill ratio stands at 1.36 for the first quarter. The EBIT before extraordinary effects reached €53.5 million. The respective margin improved from 4.1% to 4.9%, which is in line with our full year guidance. Our divisions Application Technology and Clean Technology Systems started into the year with pretty high margins. Free cash flow was solid in Q1, supported by the continued disciplined net working capital management. Based on the results of Q1, we confirm our outlook for 2024. On Slide 5, we see the key financial indicators for Q1. Order intake increased by 2% compared to last year's record level and includes a consolidation effect of about €74 million. The 8.3% sales growth was also supported by the consolidation of BBS Automation and Ingecal, which contributed €79 million and thus more than compensated with sales decline at HOMAG of almost 15%. In addition, all other divisions grew organically. EBIT before extraordinary effects improved by 27% and the margin by 80 basis points. The margin weakness at HOMAG was more than compensated by margin improvements at all other divisions. Net income, however, declined by 4% due to higher PPA effects following the BBS Automation acquisition and higher interest costs. The solid free cash flow of €25 million means that we are well on track to reach the full year guidance. Last year, we had an extraordinarily high Q1 free cash flow, reflecting very high prepay. Let's take a closer look at the order intake on Slide 6. I already mentioned the large automotive order that we booked in Q1 as expected as well as the consolidation impact from BBS Automation and the project business at HOMAG. And Clean Technology Systems, orders were higher than the last three quarters. The Automation business had a slower start into the year, but the pipeline looks promising. All-in-all, order intake saw a strong start into the year, putting us well on track to reach the full year guidance. On Slide 7, we see the geographical distribution of order intake. The large automotive order in Germany is clearly visible. The order intake declined in the Americas and the rest of Europe was driven by high base effects from last year. The slowdown in China reflects the current economic development in the country. Asia also outside of China remains stable. Let's have a look at our most recently recent M&A activity. After several years of smaller and larger acquisitions, we announced the divestment of Agramkow, the subsidiary belonging to Industrial Automation Systems that supply systems for fitting refrigerators, air conditioning systems, and heat pumps. Last year's revenues were about €45 million, and Agramkow's EV stands at €47 million. As already mentioned several times, we continuously review our business portfolio and are bidding to dispose of business activities if they offer insufficient scope for harnessing synergies. Agramkow's business has few synergies with other parts of the group, and as such, is no longer part of the strategically relevant core business. We expect the closing of the transaction by the end of the second quarter after completion of the carve-out. Based on the expected proceeds from the sale, we adjusted our guidance for net debt by €40 million to between minus €500 million and minus €550 million. Now, let's have a look at the divisional development. We start with Paint and Final Assembly Systems on Slide 10. Order intake was close to the record level of last year, driven by the already mentioned large order. The project pipeline remains solid and is also mainly driven by modernization investments in connection with sustainability measures. Such current slowdown in the transformation towards EVs, which we regard as temporary, does not play such an important growth. Sales grew strongly from a low prior year's level and service grew stronger than [Indiscernible]. The EBIT margin before extraordinary effects improved slightly compared to last year and we expect a further acceleration of sales and EBIT margin with projects reaching more advanced execution phases in the course of the year. All-in-all, Paint and Final Assembly Systems is on a good track to reach the margin target in 2024, which is in line with our mid-cycle margin target of more than 6%. Let's turn to Application Technology on Slide 11. Order intake was driven by the same large project, as at Paint and Final Assembly Systems and reached a new record level of €262 million. Sales revenue grew by roughly 2%, but services outgrew equipment and had a positive impact on EBIT. Driven by the strong service business and the execution of high-margin projects, the EBIT margin before extraordinary effects reached the midcycle target level of 10% plus. Next to Clean Technology Systems on Slide 12. Order intake did not reach the extraordinary high level of last year, but exceeded the levels of the last three quarters. The new calendaring machines from Injecal, the French company acquired in November 2023, see good demand, and we are focusing on getting the first large order for our electrode coatings equipment for batteries. Sales revenues grew double-digit, driven by projects in Europe and the USA. The service business remained stable on a high level. At 7.7%, the EBIT margin before extraordinary effects was a high -- was at a high level in Q1, exceeding the mid-cycle target. Also here, the good service and the execution of high-margin projects were the key contributors. We continue to see a lot of potential in the battery business and are working very diligently to gain market share in this market. On Slide 13, we can see the development of our youngest division Industrial Automation Systems. Financial KPIs of Q1 was supported by the consolidation of BBS Automation. Order intake in Q1 included larger orders in China, but has not reached the targeted run rate based on our full year guidance. We expect an acceleration in Q1 -- in Q2, sorry, on the basis of a solid project pipeline. Sales revenues were also driven by organic growth as project execution was supported by improved availability of parts. EBIT margin before extraordinary effects improved significantly compared with last year, but was still impacted by some low-margin legacy projects. We expect these to watch out over the next quarters and the margin to improve according. Clear focus at Industrial Automation systems is on realizing the synergies on top and bottom-line level and to be projects based on the critical mass that we have gained through the acquisition of BBS Automation. Last, but not least, let's take a look at HOMAG on Slide 14. Order intake reached €377 million, which is an improvement over last year. However, the growth was driven by a couple of larger effects [ph], while the underlying demand dynamics have not changed yet. As such, it is still too early to become more optimistic and we continue to expect an improvement in demand not before the end of this year. The impact of the decline in order backlog became visible in Q1 sales revenues, which dropped by 14% and thus in line with expectations. On the positive side, service revenues continue to hold up well. Due to the lower capacity utilization, the EBIT margin before extraordinary effects declined to 3.1%, meeting the full year guidance of between 2% and 4%. We are using flexible measures like short-term work and the reduction of time accounts to compensate on the cost side. In addition, we are on track with our sustainable cost saving measures on a global land. We already reached our target abroad and in Germany, the voluntary program is currently running. We are on track with our cost savings target of €25 million in 2024 and to realize additional €25 million in 2025 in order to lower the cost by €50 million in total. Now, let's move on to the Service business on Slide 15. In Q1, Service sales reached a level of more than 29% of overall sales. Service development was strong in Automotive, but also at HOMAG, with service share held up very well. The Service mix shifted a bit from spare parts to modifications and the margin further improved. We continue to focus on growing our Service business as an important factor to improve our margin. Now, Dietmar, over to you for the financials.
Dietmar Heinrich: Thank you, Jochen and welcome to everybody from my side. I start with Slide 17 and an update of our ROCE definition. ROCE one of our key KPIs when reviewing the previous definition, we came to the conclusion that we should close link the ROCE calculation to our operational performance and our internal steering model. As a preparation, we interviewed several analysts and performed the period-end analyze on capital goods companies. So, this is what we have changed. First, we moved from reported EBIT to EBIT before extraordinary effects in order to better reflect the operational performance. At the same time, we increased the scope of assets and liabilities included in the capital employed calculation. This means our network and capital steering better to the ROCE calculation and increases the amount of capital employed. Finally, we move to rolling 12 months, few for both EBIT before extraordinary effects and capital employed. Previously, we used the year-to-date issue for EBIT and the period-end fuel for capital employed. When you compare with the overall revenue calculation, you only see a small effect for 2022. At extraordinary effects were relatively low. The effect is larger in 2023 as we eliminated the extraordinary effects of the HOMAG restructuring and into account before [Indiscernible] of the acquisition of BBS Automation on capital employed. The target for ROCE for 2024 was also recalculated and the guidance range is now at between 12% and 17%. This is basically in line with the target of 9% to 14% according to the previous definition. In the long-term, the switch for EBIT before extraordinary effect and the increased growth of capital employed are roughly balanced, which is why we leave the mid-cycle target of at least 25% unchanged. Now, let's look at the financial overview on Slide 18. I think the start 2024 was very solid, it got well on trade regarding our target. The ROCE according to the new calculation stood at 16.9%, which is a bit lower than last year due to the increased capital employed following the acquisition of BBS Automation. On Slide 19, you can see the revenue development over the last five quarters. The typical seasonal pattern is very well visible when you look at 2023, with a weaker Q1 and a strong finish in Q4 for many projects typically come to end. Looking at the geographical distribution, we see that China continued to lose share that was partially made up by Europe and the rest of Asia. Let's move to EBIT on Slide 20. Again, you can see the seasonal development in 2023. This year, we started on a higher margin level of 4.9% before extraordinary effects, which is already in line with the guidance. These take margin declined at HOMAG will be compensated by the other businesses and a strong service performance. We continue to focus on the consistent implementation of our cost-saving measures at HOMAG as Jochen also already highlighted. On Slide 21, we can see the free cash flow development. Last year, we had a very strong contribution from several prepayments to free cash flow in Q1. This year, we managed to further reduce net working capital, but on the other side, the higher cash outflow for CapEx and interest payments. Still, with €25 million, we had a solid start into the year, a good contribution to our target of €0 million to €50 million for the full year. The latest development of net working capital can be seen on Slide 22. Net working capital declined slightly and reached €531 million at the end of Q1 2024. The liabilities remain basically unchanged with prepayments being offset by lower trade payables. On the asset side, we saw a reduction in trade receivables and contract assets. Base working capital remained in the lower half of our target range of between €40 million and €50 million. On the next slide, Slide 23, we can see the positive impact of the free cash flow on our net financial status. Net financial debt declined to €493 million at the end of Q1 2024. This includes €118 million of leasing liabilities. Leverage was reduced slightly and stood at 1.5 times, which is in line with our target of less than 2 times. Our balance sheet is solid, also after the acquisition of BBS Automation. Nevertheless, we are prudent with our financing approach and with focus on deleveraging and looking at capital utilization. Prudent financing approach is also reflected in some actions we took after the end of the first quarter. First of all, we issued a green Schuldschein loan with a volume of €350 million. The details can be seen on Slide 24. The proceeds are earmarked for investments into green projects and operating expenses in connection with taxonomy-aligned customer approach such as production lines that are far more efficient than the industry standout. The Schuldschein is tranches of three, five, and seven years, and the average interest rate is at 5.04%, with a maturity of 5.1 years. As we still have older Schuldschein loans with lower interest rate, the average interest rate of our debt is currently at 3.57%. Based on this strength and liquidity situation, we fully replaced at the end of April, the bridge loan of €300 million that we had used for the acquisition of BBS Automation. On Slide 25, we can see the pro forma maturity profile and liquidity situation, considering the green Schuldschein and repayment of the bridge loan. The liquidity headroom remains very high and the maturity profile now looks well-balanced over the coming years. With available funds of €1.8 billion, we are comfortably positioned to repay the upcoming maturities. And with this view from the financial side, I hand back to Jochen for the outlook.
A - Jochen Weyrauch: Thank you very much, Dietmar. On Slide 27, we can see the fundamental demand drivers for our business, particularly the first one has strongly supported already take in Q1. There are still a lot of old paint shops around and therefore, we see a solid pipeline for refurbishment projects. The demand drivers seems to have slowed down a bit last year when looking at EV production numbers and housing starts. However, we are not so much dependent on current production levels and believe that the fundamental transformation towards the carbon-neutral society goes on and so with investments in this area. In the automation area, we have now reached a critical mass and have interesting discussions with customers regarding potential projects in all areas; automotive, MedTech, and consumer. Therefore, we are well-positioned with our leading resource efficient technologies to supply attractive solutions to industry and craftsmanship. Let's look on our guidance for 2024 on Slide 28. We confirm our targets for 2024, except for net financial debt, where we adjusted the guidance range by €40 million due to the positive effects from the divestment of Agramkow. The ROCE target values have been recalculated according to our new definition, but are in line with the targets of the previous definition. We had a strong start in order intake, but as we could see from last year, it makes sense to leave some flexibility in order to react to different market environments and to be able to remain selective. We focus on winning projects in automation and stabilizing utilization at HOMAG, while at the same time, implementing our capacity adjustments. On Slide 29, we can see the breakdown of the guidance by divisions. There is no change to these targets. Our unchanged midterm strategy for profitable growth is shown on Slide 30. We believe we can grow with a compound average growth rate of 5% to 6% and reached more than €6 billion of revenues by 2013. Mid-cycle, we target the EBIT margin before extraordinary effect of at least 8% and the ROCE of at least 25%. Now, let's summarize on Slide 32. We achieved a new quarterly record for order intake in Q1, mainly driven by a large order as expected. Revenue growth is on track. The weakness at HOMAG was more than compensated by organic growth in the other divisions and the consolidation of BBS Automation. The EBIT margin before extraordinary effects had a good start, especially at Application Technology and Clean Technology Systems. Free cash flow was solid. We strengthened our financial structure with the green Schuldschein and repay our bridge financing. And finally, we confirm our guidance for 2024 with a lower net debt target following the Agramkow divestment Thank you very much for your attention. Now, we're very happy to answer any questions you might have.
Operator: [Operator Instructions] The first question comes from Sven Weier, UBS. Mr. Weier, the stage is yours.
Sven Weier: Yes, good afternoon and thanks for taking my questions. The first one is a question on the order intake because I think in the press release, you stated that you also expect a high order intake for Q2 and I think that was a bit different last year when Q2 was really substantially lower than Q1. So, in that sense, I just wonder if you could share kind of a guidance range for us, what we should pencil in for Q2? And then this would probably then imply a significant decline for the second half. But then you say the pipeline is good. So, yes, maybe some more color on the order guide? That's the first one. Thank you.
Jochen Weyrauch: Thanks, Sven for the question. You might excuse that I'm answering a bit -- how should I say, generic. So, we have a number of projects that are around the verbal order stage, let's say. And those we have feeling that Q2 will be good. It will be definitely better, especially on the Automotive side and then last year, how things stand further distribute over the year, we will have to see. Nevertheless, we are with what we see right now, where we're close to orders that Q2 will on the automotive side, especially the -- at least an okay quarter, difficult to give a number at this point.
Operator: Okay. There are currently -- yes, okay Mr. Weier--
Sven Weier: Sorry, I was on mute. Can you put me in?
Operator: Yes.
Sven Weier: Sorry, I didn't want to be rude and not thank you. But I have another question, and that was just was on the HOMAG margin because there is a sequential margin decline, I mean, I know you had lower revenues, but the operating leverage seems quite, quite high to be honest. I was wondering that you have a very good mix in Q4 and a very bad mix in Q1 that was adding to this sequential decline or something to keep in mind?
Dietmar Heinrich: Let's say my -- so very good development in the third and fourth quarter of last year, service business is still going well. You could see that this is also on the respective chart. In regard to the business, there are basically two levels that are pushing down the profitability. This is on one side, the sales decline with a lack of gross profit contribution and then the related uncovered fixed cost. So, the idling costs that we are having. So, that's why we are getting down to the level of 3%. On the other side, it's well in a bit of what we announced as the guidance for the full year between 24%. And so from our point of view, it's developing in line with the expectation. You can also outlined regarding the progress on the capacity or the resource adjustment program. So, we've got more momentum now in the coming weeks. And you could also see on the free cash flow, that there might not yet be margin free cash outflow coming from the headcount reduction. So, this will come actually in the coming months. And accordingly, I hope that we will get then a better fixed cost coverage with lowering the fixed cost.
Sven Weier: Understood. Thank you both.
Jochen Weyrauch: Thank you, Sven.
Operator: Thank you. The next question comes from Nicolai Kempf from Deutsche Bank. Mr. Kempf, go ahead.
Nicolai Kempf: Yes. Good afternoon. Nicolai Kempf, Deutsche Bank. Two questions from my side. First one on the kind of shift in powertrain we are seeing right now and especially one big premium manufacturer in surge is a bit more broker now that their all electric vehicles will probably sell at a slower pace than initially expected, and this could just mean longer investments in their plug-in hybrids and also in their gas diesel powertrain. How could this impact you or does it impact you at any instant?
Jochen Weyrauch: Nicolai, you want to give us your second question too and then we try to answer together?
Nicolai Kempf: Yeah, sure, fine. Second one would be on HOMAG. It has been a pretty big headwind over last year now coming down I do remember that you have started to have index contracts and that doesn't mean that you would have to soon maybe grant and discounts or just lower your input cost for this new contract?
Jochen Weyrauch: I'm not sure whether I perfectly got the questions all very acoustically. If I'm not answering what you were asking, please then interfere. So, on the large order that we have received, I cannot and I would never comment on any customer plans, activities, or changes, et cetera. The one thing that I can say is that the strategic partnership that is in place is for projects that are not purely the production lines. So that's where I'm saying, well, as long as cars are produced, I'm positive. That's what I can say at this point. No indication at the moment, at least nothing that we see of changing plans. But again, I cannot comment for customers. Your second question, that's the one where I probably did not perfectly catch. You were referring to price indexed projects in automotive. Is that right?
Nicolai Kempf: Yeah, it's referring just to input prices because input prices are coming down and whether you have to already pass them on to your end customers because of indexed contracts.
Jochen Weyrauch: Yes, to some extent we do, but that's fine because this is how we calculated those contracts and I rather have an even more happy customer by reduced CapEx in some instances without an impact on our margins. So yes, we see this on some contracts that we sign probably closer to the peak of the commodity prices, which in some cases have now come down. But this is exactly what we wanted to achieve, to be resilient against cost changes. Obviously, that resilience works both ways.
Nicolai Kempf: Great. Thank you.
Jochen Weyrauch: Thank you, Nicolai.
Operator: Thank you. The next question comes from Philippe Lorrain from Bernstein. Mr. Lorrain, the line is open.
Philippe Lorrain: Yes, thanks very much, Philippe Lorrain from Bernstein. I've got a couple of questions. Let's start maybe with order intake, and that would be by division. So, HOMAG's order intake looked quite sound at €377 million in Q1. You mentioned that in the presentation that it was supported by good development in systems. How much of the order intake was actually coming from systems in Q1 and how does it compare to the typical share of system orders? That would be like the first one on HOMAG. And then also, are there any significant orders inflating the Q1 numbers, especially if we compare that to the past quarters that we had there? And maybe to stick with order intake as well on PFS and APT, by how much did the large order support the Q1 PFS and APT order intakes respectively, please?
Jochen Weyrauch: Thanks, Philippe. For HOMAG, the €377 million, I would say we've had like close to €100 million of systems or larger orders in there, which is a higher share than we would, if you will, typically have. This is why we've been somewhat cautious in using this relatively okay order intake numbers and extrapolate then for the year in terms of showing a situation that would look better than we had anticipated. So that's why I made the comments in my speech that we don't see a change of the trend at HOMAG at this point. PFS and APT, the large order that we booked is pretty much, how should I say, middle, triple digit, whatever number for both. If you take a normal share of a distribution between APT and PFS of somewhere between one-third to one-quarter for APT that would fit this project, maybe a bit closer to one-third.
Philippe Lorrain: Okay, perfect. That's great. Thanks. Let me stick perhaps with HOMAG just a little bit. So you comment that the share of systems is higher than typically. Could you put some color behind that? Is it like twice as much or is it less than that? So it's just to put that in context and maybe as well, like give us a little bit of color on how to think about quarterly order intake run rate for the remainder of the year?
Jochen Weyrauch: The latter one is very difficult to say, honestly. What we do is we stick with our guidance. Your assumption for how much a system compares to a normal run rate, your assumption of it being maybe double of what we typically have would be about accurate.
Philippe Lorrain: Okay. That's lucky from my side. Okay. Perfect. And last question would be more like a housekeeping one. You mentioned in your preparatory comments that there was a €74 million, I think, so 7-4 consolidation effect on order intake from both BBS Automation and I guess Ingecal. You mentioned a little bit as well, I think, on sales and adjusted EBIT, could you repeat that? Because the line was, yeah, I'd say like quite difficult. Thanks.
Dietmar Heinrich: Okay. Yeah, the number is, as you outlined, it is then for both together, it's around, in regard to order intake, of around €65 million to €70 million. Ingecal is around €4 million to €5 million out of this. So this is in line with the development that we had in last year then on a pro forma basis in the first quarter.
Philippe Lorrain: And sales are about the same?
Dietmar Heinrich: And sales is about the same. Sales is a bit higher due to the good order -- then all together sales amount would be in a range then of around -- close to €75 million to €80 million.
Philippe Lorrain: Okay. Thanks.
Operator: Thank you very much. We have one more question here. [Operator Instructions] The next questioner is Peter Rothenaicher from Baader Bank AG. Mr. Rothenaicher, this stage is yours.
Peter Rothenaicher: Yes, hello, gentlemen. I have a question on industrial automation. So, you mentioned order intake in the first quarter was relatively low. Can you give us an indication, what can we expect here, a significant upturn in the second quarter? And might there be the risk perhaps later this year of some underutilization of capacities at BBS?
Jochen Weyrauch: Yeah. Thanks so Peter for the question. Yeah. We have obviously we're aware of a few larger orders that would really be double-digit projects -- we're confident that in the second and partially third quarter with the visibility that we have that we are very likely to book a few of those which makes us confident. Underutilization, no, we're not seeing this in a large way. Typically, industrial automation where we have not a lot of machinery, we are relatively flexible. Can I say there is none -- there always is some underutilization coming from the project nature of the business, but I'm not expecting anything extraordinary, so.
Peter Rothenaicher: And might this have some effect on earn-out regulations for BBS?
Jochen Weyrauch: No, because earn-out would have been relevant looking back at last year.
Peter Rothenaicher: Okay. And so one question on your battery business. You mentioned you are here in negotiations and discussions about a bigger order. So what is your current view? And what size might have such a bigger order?
Jochen Weyrauch : Car battery, on the battery business, that might be well double-digit order.
Peter Rothenaicher: And how clear is it -- is this something you're already expecting now for the second quarter? Or might it take longer?
Jochen Weyrauch : I'm quite positive, but I cannot assure the fact this is going to happen in the second quarter, we will have to see.
Peter Rothenaicher: And lastly, regarding HOMAG and these systems orders. Do we have to be aware that profitability of this system orders is typically lower than machinery business and therefore, have some impact also on profitability?
Jochen Weyrauch : No. No, this now, I cannot say that at least there is one order, a larger order in there where I know that the margin is quite healthy. So I understand where you're coming from, and it's a fair assumption, but I cannot confirm that for the larger orders in into all that we have received.
Dietmar Heinrich : Peter, to answer, there is no specific risk in regard to what we provided as a guidance. The influence from the system project is that this will not lead to a sale wins or sales revenues within a short period of time. But the pro execution is an pricing up to two years. So that's also why we highlighted that on one side we expect, first of all, no significant change in the expected order dynamics for this year towards the end of the year. So why we stay with the guidance. And secondly, the adjustments need to be done. We do not expect now with the system orders or these mentioned system orders coming in to see a pickup of sales within a short period of time because it's spreading over up to three years.
Peter Rothenaicher: Okay. One final question on Paint and Final Assembly Systems. I think with Q4, you mentioned that the one or other project has been lost to a competitor. I think it was Jaco [ph]. How is the situation there? Is there still some risk of this competitor might be price aggressive also than in upcoming quarters?
Jochen Weyrauch : So Peter, it's difficult to comment on competition. And I don't know, honestly. And I think what you see now with Q1 and with our statements regarding Q2, we are continuing our strategy, which I think more and more now materializes in the numbers. And we will see what our -- what competition does. And obviously, we appreciate competition, because it's also a way to show our customers where we are. And we will have to see on honestly.
Peter Rothenaicher: Okay. Thank you.
Jochen Weyrauch : Thank you, Peter.
Operator: And the next question comes from Christian Cohrs, Warburg Research. Mr. Cohrs, you have the floor.
Christian Cohrs : Yes. Hello. Good afternoon. Thanks for taking my question. Three left for me. First, after the sale of Agramkow. Do you have more divestments on the agenda? And then two questions regarding clarification on the corporate center. The number of employees has risen by more than 140 Q1 versus Q4 last year. So maybe you can shed some light on that. And lastly, R&D expenses have come down more than €4 million. Are you more restrictive with regards to R&D also to safeguard your results? Or is this simply yes, quarterly fluctuation, which should not be overstated. Thank you.
Jochen Weyrauch : Thank you, Christian, for the questions. On the divestments, I can only repeat what I said earlier in this call, we continue to reflect on the portfolio, and whenever we come to any idea that we're going to execute, of course, you will know, but I cannot comment anymore on this. On R&D, this is more, I would say, another fluctuation. We, of course, we always watch where we spend the money on for the future, but we have nothing restricted in place where we harm activities going forward. Go ahead maybe.
Dietmar Heinrich: Yes, I actually mentioned or I can explain in that regard. We had employees that actually have been allocated to HOMAG in shared service area, but they did not only work for HOMAG also were further group activities, divisional activity, and we changed this allocation so that they now are shown actually as corporate center or corporate services.
Christian Cohrs : Understood. Thank you.
Jochen Weyrauch: Thank you, Christian.
Operator: And the next question comes from Holger Schmidt, DZ Bank AG. Mr. Schmidt, your line is open.
Holger Schmidt : Yes. Hi. Good morning everyone. Thanks for taking my questions. The first question is on the Industrial Automation business. Here, you mentioned that the margin development was impacted by the execution of legacy projects. For how much longer will we see an impact from legacy projects? So that's the first question. And the second one is also on margin evolution. How should we think about the margin development throughout the quarters in the current year at HOMAG?
Jochen Weyrauch : Thank you, Holger. On industrial automation systems, the legacy projects that we're referring to, if you will, older projects with Teamtechnik, and I would expect those to completely work out during the course of this year. On HOMAG, on the margins, I mean, as we reported and were pretty much in the middle of our guidance for Q1. EBIT numbers might or return on sales might fluctuate a little bit quarter-by-quarter. But also, as mentioned, we assume and we will maintain our guidance for the total year of between 2% and 4%. And there is a mix, as Dietmar was explaining before. On the one hand, we've been implementing flexible measures like short-term work now, while we're executing our restructuring program. So capacities will go down while we then on benefit from short-time work so much anymore. And this will one play against the other, but with our assumption, as we said before, that the total year will be between 2% and 4%. That's unchanged.
Holger Schmidt : Okay. Thank you.
Jochen Weyrauch : Thank you.
Operator: There are currently no further questions. [Operator Instructions] Let me hand back to Andreas Schaller for some closing words.
Andreas Schaller: Thank you very much, ladies and gentlemen, for your attention, for your questions. If you come across further questions after the results, please do not hesitate to contact my colleagues or my staff from Investor Relations. We are looking forward to staying in contact with you. And with that, I would like to say to good bye you all and have a nice rest of the week. Thank you very much. Bye, bye.
Operator: Thank you for participating in the conference call. This call is now closed.